Operator: Please standby. We’re about to begin. Thank you for joining the Silgan Holdings Fourth Quarter and Full-Year Earnings Results Conference Call. Today's call is being recorded. At this time, I'd like to turn the call over to Kim Ulmer, Vice President, Controller of Silgan Holdings. Please go ahead, ma'am.
Kim Ulmer: Thank you. Joining me from the company today, I have Tony Allott, President and CEO; Bob Lewis, EVP and CFO; and Adam Greenlee, EVP and COO. Before we begin the call today, we would like to make it clear that certain statements made today on this conference call may be forward-looking statements. These forward-looking statements are made based upon management's expectations and beliefs concerning future events impacting the company, and therefore, involve a number of uncertainties and risks, including, but not limited to those described in the Company's Annual Report on Form 10-K for 2014 and other filings with the SEC. Therefore, the actual results of operations or financial condition of the Company could differ materially from those expressed or implied in the forward-looking statements. With that, I'll turn it over to Tony.
Tony Allott: Thank you, Kim. Welcome, everyone, to Silgan’s 2015 year-end earnings conference call. I want to start by giving few comments about the highlights of 2015. Provide a brief update on our footprint optimization program initiated to allow us to further expand our competitive advantage in our market and position the company to continue delivering strong shareholder value. Bob will then review the financial performance for the full-year and the fourth quarter and provide highlights of our 2016 outlook. Afterwards, Bob and I’ll be pleased to answer any questions. As we've discussed in prior calls, 2015 was beginning of the transition period, where we undertook several footprint optimization programs across each of our businesses designed to improve efficiencies, reduce costs and strengthen our competitive position in each of our markets. While under taking these initiatives, we delivered adjusted earnings per diluted share of $2.97 and free cash flow $117.1 million. Overall we’re pleased with our progress in 2015 and are committed to completing this transition in 2016. Among the milestones in 2015, we’re delivering net income per share of $2.81, delivering adjusted net income per share of $2.97, generating cash from operations of $5.47 per share, increasing the cash dividend by 7%, improving metal food container volumes 56%, completing a tender offer to purchase $161.8 million of common stock, initiating in multi-year footprint optimization program including the construction of the construction of three new manufacturing facilities and announcing the closure of two plastic container facilities. As we enter 2016, our closures business successfully completed the optimization program and delivered record operating income in 2015. Our metal food can business in the process of building a major new can plant in Iowa to ease our tight capacity in the Midwest. This plant is currently on schedule to begin qualifications and commercial production in the first half of 2016. Finally, and the most complex of our optimization plans, is in our plastics business, where we are building two new plants, closing several others and shifting customers and markets served. Given the custom nature of this business, these moves are much more challenging and did result in significantly higher costs in 2015, and are anticipated continue to do so in 2016. While we are making progress on the ground, there is much work yet to be done in this project. On the positive side, the new plants are on schedule the start the first half of 2016. As a result of the ongoing logistics cost in the metal food can business prior to qualification of the new plant along with the ongoing transition and startup costs, we expect to deliver full year adjusted net income per diluted share in 2016 in a range a of $2.80 to $3.00, and free cash flow to be approximately $175 million, as capital expenditures related to the new manufacturing facilities begin to ebb later in the year. These results are also reflective of higher pension costs, incremental interest and a return to a more normal tax rate in 2016. In summary, we remain committed to completing our optimization plans and further enhancing our franchise market positions through prudent investment. Our focus in 2016 will be on completing these initiatives, delivering market-leading quality and service to our customers and positioning the business for strong shareholder value creation well into the future. With that, I’ll turn it over to Bob.
Bob Lewis: Thank you, Tony. Good morning everyone. Each of our businesses initiated significant optimization plans in 2015, designed to eliminate excess manufacturing and logistical cost, produce high cost production facilities, and better serve our customers for the longer-term. As expected 2015 was a transitional year in each of our businesses. As a result, we delivered adjusted earning per diluted share of $2.97 and we delivered free cash flow of approximately $117 million, slightly better than expected as some capital expenditures were deferred into 2016. On a consolidated basis net sales for the year were $3.8 billion approximately $148 million lower than prior year as foreign currency negatively impacted our revenue by approximately $140 million. And we’ve passed through lower raw material costs in each of our businesses. We converted these sales to net income for the year of $172.4 million or $2.81 per share as compared to 2014 net income of $182.4 million or $2.86 per share. 2015, included adjustments increasing our earnings per share by $0.16 and 2014 included adjustments that increased earnings by $0.31. As a result, adjusted net income per diluted share was $2.97 in 2015 versus $3.17 in 2014. Interest expense before loss on early extinguishment of debt was $66.9 million, a decrease of $7.9 million as compared to 2014 as a result of lower weighted average rates and the impact from favorable foreign currency translation. We recorded a loss on early extinguishment of debt of $1.5 million in 2014 as a result of the refinancing of the senior secured credit facility in January 2014. For 2015, effective tax rate was 31.8% as compared to the 2014 rate of 35.9%. In 2015, the rate was favorably impacted primarily by higher income and more favorable tax jurisdictions and the ability to fully recognize benefits in the current year period from recent legislative extension of certain U.S. tax provisions. The effective tax rate for 2014 was unfavorably impacted primarily by the tax effect from the shutdown of the manufacturing facility in Venezuela, partially offset by the favorable impact from the realization of certain foreign tax credits. Full-year capital expenditures totaled $237.3 million for 2015 as compared to a $140.5 million in the prior year. Additionally, we paid a quarterly dividend of $0.16 per share in December with total cash cost of that dividend was $9.8 million. For the full year we returned $39.7 million to shareholders in the form of dividends and an additional $170.1 million in the form of share repurchases, including the tender offer completed in the beginning of the year. As I outlined in Table C, we generated free cash flow of $117.1 million, as we made significant capital expenditures during the year to fund our footprint optimization programs including the construction of three new facilities. I’ll now provide some specifics regarding financial performance of our three business franchises. The metal container business recorded net sales of $2.370 billion down $4.4 million versus the prior year. This decrease was primarily due to unfavorable foreign currency translation of $56.4 million and after a lower raw material cost, partially offset by higher unit volumes. Volumes were favorably impacted by the addition of smaller can sizes attributable to the Van Can acquisition and continued growth in pet food products. Income from operations in the metal container business was $236.4 million, a decrease of $12.3 million versus the prior year. This decrease was primarily due to higher manufacturing costs as a result of logistical challenges from changes in customer demand patterns, a less favorable mix of products sold and the impact of unfavorable foreign currency translation of approximately $3 million, partially offset by higher unit volumes and the impact from an inventory build in anticipation of optimizing production capacities in 2016. Net sales in the closures business were $805.0 million, a decrease of $77.9 million, primarily due to the impact of unfavorable foreign currency translation of $63.4 million, the pass through of lower raw material costs and the cessation of operations in Venezuela at the end of 2014, partially offset by 2% higher volumes in the year. Income from operations from the closures business increased $16.2 million to $91.8 million in 2015, primarily due to lower rationalization charges, higher unit volumes, better operating performance largely as a result of the plant optimization programs, operational losses Venezuela incurred in 2014 and the favorable impact from the lagged pass through of decreases in resin costs as compared to the unfavorable impact from resin in 2014. These increases were partially offset by the impact of unfavorable foreign currency translation of approximately $4 million and a reduction in inventories in the current year as compared to an increase in inventories in the prior year. Rationalization charges were $1.7 million in the year, as compared to $12.2 million in the prior year. Net sales of the plastic container business decreased $65.5 million to $593.7 million in 2015, principally due to the unfavorable foreign currency translation of $18.8 million, the pass through of lower raw material costs, lower volumes of approximately 3% and the unfavorable financial impact from recent longer-term customer contract renewals. Operating income decreased $43.7 million to $7.8 million for the year, largely attributable to significant incremental cost and the inefficiencies incurred service customers during the footprint optimization program. The unfavorable impact from unfavorable impact from recent longer-term customer contract renewals, higher rationalization charges, lower volumes, and customer reimbursement for historical project cost in the prior year, unfavorable foreign currency translation of approximately $2 million and start-up cost associated with the new plants, partially offset by the favorable impact from the lagged pass-through of decreases in resin. Rationalization charges were $12.7 million and $2.7 million in 2015 and 2014 respectively. For the fourth quarter, earnings per diluted share of $0.44 as compared to $0.37 in the prior year quarter. We incurred $3.6 million of rationalization charges in 2015 as compared to rationalization charges of $9.5 million in 2014, which were largely non-deductible for tax purposes. As a result, we delivered adjusted earnings per diluted share of $0.48 in the fourth quarter of 2015, as compared to $0.58 from the same quarter last year. Net sales for the quarter decreased $80.6 million versus the prior year driven primarily by unfavorable foreign currency translation of $23.5 million, the pass-through of lower raw material costs, lower volumes in the metal and plastic container businesses, and the unfavorable financial impact of recent longer-term contract renewals in the plastic container business, partially offset by improved volumes in the closure business. Income from operations for the fourth quarter of 2015 decreased by $6.6 million primarily as a result of lower volumes in the metal and plastic container business. Significant incremental cost and inefficiencies incurred to service customers who joined the footprint optimization program in the plastic container business, higher manufacturing expenses in the metal container business largely due to logistical challenges, the impact of unfavorable foreign currency transactions and translations, new plant startup costs and the unfavorable financial impact of recent longer-term contract renewals in the plastic container business. These decreases were partially offset by lower rationalization charges, higher unit volumes, and improved operating performance in the closures business, and the impact from an inventory build in the metal container business in anticipation of optimizing production capacities in 2016. The fourth quarter 2015 tax rate of $26.2 was favorably impacted by the ability to fully recognize benefits from the legislative extensions tax in December for certain U.S. tax provisions and higher income in more favorable tax jurisdictions. The effective tax rate for 2014 was unfavorably impacted by the tax effect resulting from a shutdown of the manufacturing facility in Venezuela, partially offset by the favorable impact from the realization of certain foreign tax credits. Turning now to our outlook for 2016, our current estimate of adjusted earnings per diluted share for 2016 is a range of $2.80 to $3.00, which excludes certain items identified in the press release. Reflected in our estimates for 2016 are the following: we’re forecasting the metal container business to benefit from more efficient operations in the latter part of 2016, once the new manufacturing facility becomes fully operational, improved operating performance of the Van Can assets, and volume growth. These benefits are expected to be offset by a startup cost for the new manufacturing facility, ongoing footprint inefficiencies until the new plant is qualified, and inflation in wages and certain other costs. We expect normal pack volumes in the U.S. and Europe, consistent with 2015. The closures business is expected to benefit from slightly higher unit volumes and improved manufacturing efficiencies. These benefits are expected to be partially offset by inflation and wages and certain other costs and a favorable effect in 2015 from the lagged pass-through of lower resin costs, which is not expected to recur in 2016. We’re expecting operating profit in the plastic container business to be down, largely as a result of significant incremental costs and inefficiencies incurred to service customers during the footprint optimization program, delays in implementing certain cost reduction programs, lower volumes, startup costs related to the new facilities, and the favorable impact in 2015 from the lagged pass-through lower resin costs, which is not expected to recur in 2016. In addition, we expect interest expense to increase modestly versus 2015, largely as a result of higher average interest rates, partially offset by lower average outstanding borrowings. We currently expect our tax rate to be largely in line with a more normalized rate of 33.5%, as compared to 31.8% in the prior year, which benefited from certain tax benefits not expected to recur. We also expect capital expenditures in 2016 to be approximately $170 million, as some project costs from 2015 will carry over into 2016. We’re also providing a first quarter 2015 estimate of adjusted earnings in the range of $0.35 to $0.45 per diluted share excluding rationalization charges. Based on our current outlook for 2016, we expect free cash flow to be approximately $175 million, up from approximately $117 million in 2015. That concludes our prepared comments, so I’ll turn it over to Rachelle and she can provide directions for the Q&A, answer session.
Operator: The question-and-answer session will begin electronically. [Operator Instructions] We’ll take our first question from Chris Manuel with Wells Fargo Securities.
Chris Manuel: Good morning, gentlemen.
Tony Allott: Good morning, Chris.
Bob Lewis: Good morning, Chris.
Chris Manuel: Couple of questions for you, first, maybe just quick housekeeping one, could you run through what the actual volumes were across the different business units just for the fourth quarter. I think I had some number here for the full year in the press release but what does it like in the fourth quarter?
Bob Lewis: Sure, in the food can business we were down 2%. In the closures business were actually up 6%. So very strong quarter I'm sure we will talk more about that as we go. And then on the plastic side we were about 3% down on a pound basis which is how we tend to look at it.
Chris Manuel: Okay, that’s helpful. If you could switch gears for a second and talk about structured core business [ph] strategy, et cetera a few things on those lines. There are some assets out in the marketplace that are coming up for bids in the past you have indicated you are interested in. Could you just remind us of what’s your sort acquisition criteria would be, how you think about add, delete to the portfolio, et cetera. And then how you would – the difficulty we are in right now with the equity and fixed income markets, how that may play into, how you think about return on capital as you would put capital to work.
Tony Allott: Sure, Chris. First of all, I think we would talk about our interest on acquisition is always around franchise position, sustainable competitively advantage business. So is there something out there that can enhance the ones we have or is it something out there that has its own sustainable competitive advantage? That’s one part. Two it is obviously, what we do our rigid packaging supply situations to the consumer goods market. So obviously that’s much more in our fairway and it tends to be where we look. So those are kind criteria that we pretty quickly get to management and what we do think the management how is it going to fit. On a general point, that’s what I would say to you. If we look at the current markets and any deal as part of the cost of capital to do the deal, like everyone else, drive value. And so you just to – have to figure out what is that cost is best you can figure out in the market and leave volatility factors into that. So if you have uncertainty, you’re going to need to pay someone to limit that uncertainties that adds cost and therefore impacts value.
Chris Manuel: Okay, that’s helpful. How do you think about as you’re looking about your present portfolio, obviously you’ve got some assets performing much better than others and I think evolved in your prepared remarks you talked about 2015 be a transition year. It sounds like 2016 or at least portion of it shapes up to be a transition year as well. How to think about evaluating operations that you own today as potential candidates to begin out of the portfolio. Namely obviously I’m referring to plastics.
Tony Allott: First of all let me just add Chris I'm not to be can you but, I think, we’ll try to hold everybody to two questions. In this case your third one is sort of like your second. So let me just move on and then you can come back after that. The answer portfolio is obviously, I think, our metal food can business is sitting very deep and its market in terms of its franchise position, kind of geography, scale et cetera. So we view that as a very true franchise sustainable business and would happily add to it as the opportunities show themselves and have done so obviously with the can business in Central and Eastern Europe if required. The closure business has been a phenomenal player for us and it’s gotten deeper in its markets, the execution has been great. The Portola acquisition is a wonderful example of that, where we bought something in and two plus two was five or more in that case. And so I think we feel strongly that that is a great franchise business and would love to find opportunities continue to stretch that team and give them more opportunity to create value for shareholders. Plastics is one we’ve talked about plenty, I think that we have said pretty clearly, I have said pretty that I don’t know that I believe we have a franchisee today in that business. There are parts of the business that do have a franchise, we provide something that really no one else can provide in particular customer. A lot of that franchise changed. If you go back a decade ago, it had lots to do with custom decoration that’s changed with pressure sensitive label. So much of the – what we bring to market has changed. We’ve also said we still see an opportunity in the market that is uncertain. That’s what we are working on is trying to change the cost of that business and change its disposition of the market so that it can meet that need. I think what we can’t be much clearer is on to say we’re in the middle of that, we really can’t declare where that will turn out. So I would not characterize that one as being a franchise, yes. But it’s on a path for us to test that.
Bob Lewis: So let’s Chris snooze on and then if you want to come back that’s no problem at all.
Chris Manuel: Thank you.
Operator: With that we’ll move on to Ghansham Punjabi with Robert W. Baird & Company.
Mehul Dalia: Hi, this is actually Mehul Dalia in for Ghansham. How you are doing?
Tony Allott: Good, how are you?
Mehul Dalia: Good. Can you quantify the startup cost for the three plants you put them in 2016, I mean, how does that stays in on quarterly basis through the year?
Tony Allott: If you talk first in the food can business that startup cost that we are expecting are somewhere in the kind of $7 million-ish range on the year. I think I want to go one step further than that, is there also that will be carrying the incremental cost, logistic and other stress cost [ph] if you will, out of cycle cost [ph] of another $8.5 million-ish on that. So if you could bear the total $20 million that we experienced those kinds of costs in 2015, if you compare that to the similar cost in 2016 and the startup cost, some of that is going to something like $15 million. So in fact there is some improvement that comes out and as you put on your question is mostly all of this happens at the back-end of the year. So the startup costs are actually in Q1 and Q2. The incremental cost I'm referring to will also be in the kind of first half of the year into the third quarter. The [indiscernible] engagement is that once the line is up and running, we need to get all the cans qualified. And so that is the process that between us and our customers then it’s a little bit out of our control. And that’s all against a busy season that plays out again in summer time. So how quickly we get those cans qualified has a lot of do with impact and benefit we can get from the line this year. And so time is pretty important on that. And you want to go into that.
Bob Lewis: Sure. And for plastics we've had $3 million of additional startup costs largely in the first half of the year as we get those new plants online, the two new plants online and qualified for our existing customers.
Mehul Dalia: Great. And do you expect that pricing in metals to be stable in 2016? Are you seeing anymore price competition in the market?
Tony Allott: Good question. The – if some how kind of contract price, there are certain metals movements and we do anticipate some kind of deflation on the metal side. So the revenue line will be down as we pass through on the metal side. But if you talk kind of the between us and our customer outside of the pass through, that was not really very big contract here for us, so there’s always something that goes on in that, but really nothing all that significant this year. You recall a couple of years ago we had a major [indiscernible] impact on the financials, there is not a lot to that end 2016 [ph] numbers.
Mehul Dalia: Perfect. Thank you.
Tony Allott: Thank you.
Operator: Next, we’ll move to Mark Wilde, BMO Capital Markets. 
Mark Wilde: Good morning.
Tony Allott: Good morning, Mark.
Mark Wilde: Tony, can you just talk about what you would see is sort of the key kind of upside and the downside risks as you look at the 2016 guidance range?
Bob Lewis: Sure. I think without doubt, its all, much of it is around the kind of the transition work we’re doing, like we saw in states in 2015, how quickly they can do on us. So I think we are coming into 2016 a little more conservatively fostered particularly on the plastic side, right. So then what you’re hearing from us is we got cost embedded in the right now we’re assuming we’re going to carry those incremental cost forward until we do get stablized and further long in the transition process. So downside is that we don’t make the headway that we need to make in that and therefore have to go longer with it. Similarly I would say on the metal food can side, exactly what I said which is we are assuming that we do get up and running online, which I’m sure will happen. And that we do get some qualification, so we get some benefit from the new plant in 2016. As I alluded to my earlier answer, the challenge is there’s a pack season and so if you get too far through that pack season we don’t need the capacity anymore for the fourth quarter. So that’s one of the questions is how quickly do you get that line up and running. Beyond that there will be a little bit around is the path, worsen kind of flat tax – a poor tax season would be a negative. There’s a lot of volatility and resin, we kind of assumes sort of a flat-ish kind of resin outlook from here. So I guess that won’t go either way in answer to your question. And then interest rate, that’s close, could bounce around here a little bit and affect the P&L.
Tony Allott: Yes already one was that it goes either way Mark in FX, right. We’re kind of assuming stable currency rates coming into the distress where we exited so any change there could have some impact.
Mark Wilde: Okay, and then for, into my follow-on either Tony or Bob, can you just talk with us about, how you think about the balance sheet, right now and what you target debt rating have been in this environment?
Bob Lewis: Yes, I don’t think in terms of our longer term view of the of the run rate, I don’t – for leverage, I don’t know that we’ve necessarily changed their view. I think we talked for quite some time that 2.5 times to 3.5 times as sort of the longer term goal post makes sense for this business. Obviously we continue to evaluate that based on how the credit markets are paving or not in some cases. I think that’s though where we are. All that said we’re not afraid of levering, a bit more than that, for the right acquisition and we’ve sort of been in that number for as long as there is a fairly steady path to get back into that range in a reasonable period of time. Remember our roots come from say it’s fairly levered business and it is a fairly stable cash flow generative business. So the ability to handle leverage for short-term is not necessarily something we’re afraid of.
Tony Allott: Hey, Mark this is Tony. I drill on one thing because if there now the two questions around the current credit markets which of course we are all watching they are more volatile than they were. I would just point out that if you look at our bonds probably [ph] they traded well through this, which makes perfect sense when you think about our business which is proven itself for sure, it would be very stable through kind of economic condition. When it’s on energy play, they are not at the heavy into China. And so while we watch and it is out there, I would not characterize that there’s been a huge change in the credit situation that we look at, I think.
Mark Wilde: Okay, that’s helpful. I’ll turn it over.
Operator: And next, we’ll move onto Anthony Pettinari with Citi.
Anthony Pettinari: So, good morning. In your comments you talked about metal container volumes down 2% and plastic volumes down 3%. I'm wondering is it possible to say how much of that decline was softer underlying demand, how much of it if any was attributable to kind of footprint rationalization if you use that may have cost you to spill some volumes?
Tony Allott: Sure, on the food can side, if that all had everything to do with the market. And it’s really just kind of timing we had talked about the abrupt end of the pack and so there was really no pack business in the fourth quarter so some of that was anticipated as we came into the quarter and wraps just sort of some timing on the pet business which had been a little bit stronger leading up to it. So that’s all market-based on that side on the quarter.
Adam Greenlee: Hi Anthony on the plastic side I would said the majority of it was market-based, so it would be roughly 3% as Tony had mentioned earlier, call it two-thirds of that was market-based and then lot of percent of it would be our kind of turning over back to customers that we balance in the portfolio of efforts.
Anthony Pettinari: Okay, that’s helpful. And then just rounding out the segments, what’s driving really strong volumes and closures you saw?
Tony Allott: Really it’s around the world for starters. So the good news it’s not just the U.S. it’s Europe as well and our outlying regions. Really it’s down singles for beverage, it’s the growth engine for that business and has been for some time. We saw sizeable growth this year and that will also be a driver for next year as well. So all your non-carbonated beverages, the sports drinks, et cetera continue to see nice growth year-on-year.
Anthony Pettinari: Okay, that’s helpful. I’ll turn over.
Tony Allott: Thank you Anthony.
Operator: And next we’ll hear from George Staphos from Bank of America Merrill Lynch.
George Staphos: Hi everyone good morning. Thanks for the color so far. I guess, I want to come back to the plastics call it integration, inefficiency target for this year. If I heard you correctly, and you said it would be $3 million higher this year versus 2015. I just want to confirm that, if that’s the case, what would that wind up in absolute terms of being for 2016, again looking at start-up costs and system stress cost et cetera?
Tony Allott: Sure. I think what we said on the last calls are just that, really it’s going to be much of a mirror image to 2015 as we go into 2016. So the incremental costs that we’re talking about, we are including the start-up costs in that number, so are roughly $16 million of cost that we incurred in 2015, did include a couple of million to start-up costs. So as we’ve talk about the remainder of, $3 million of start-up costs of those new plants, that’s going to make the 2016 number more or less $17 million in incremental costs and new plant start-ups.
George Staphos: Okay. And that includes system stress cost and all, I just want to be clear on that?
Tony Allott: Yes. It does, it does…
George Staphos: Okay, all right. And one other question I have is volumes in plastics and I’ll turn it over. Are you – I mean, I’m guessing the answer is going to be no. But, are you seeing any signs that your customer base, your perception market from buyers of plastic containers is changing such that you are – not only you’re battling sort of an operating inefficiency issue, as you bring on these new facilities. But there is a perception, so then being, not what it had been and that’s hurting you from a volume standpoint. And no matter the answer while you have that few things, I’ll turn it over.
Tony Allott: Sure. I think your gut was right. And the answer is going to be incentives. I think for the most part, we’re talking about this a lot more than our customers do. We’re spending a lot of time, energy and money to insulate them from some of the issues that we’re having. So for the most part, we’ve been able to do that successfully. So in certain cases we’re actually getting further opportunities to grow this kind of emerging we’re expanding our relationship and I’d say for the most part our customer relationships are improving through this process. Each of these challenges provides a great opportunity to solidify the relationship. And I think the actions that we’ve taken, the steps that we’ve made in order to, again insulate our customer. As I think are being recognized and are being appreciated by our existing customer base. For the most part, the Silgan brand if you will, it has a very strong name in the packaging industry. So as we talk about targeting other, target markets for our plastics business, we’ll talk about food, in particular we’ve got very good presence in our food can business and our closures business in the food market. And we get the benefit of that Silgan plastics And – so I think in total it’s actually – the money that we spent and the incremental cost that we’ve incurred has done what we had hoped, which was insulated our customers to a very large degree from the challenges that we’re facing.
George Staphos: All right, thanks – thanks for your response, Allott.
Operator: And we’ll move on to Debbie Jones with Deutsche Bank.
Debbie Jones: Hi. Good morning everyone.
Tony Allott: Good morning, Debbie.
Debbie Jones: Your CapEx, obviously evaluated for 2015 and 2016, well under communicated. I am just curious that are there a reason to believe here that we’re at a chipping point and that you’re going to need to continue to spend in capital specifically in your metal food operation to – to stay competitive whether it would be through continued consolidation and similar efforts?
Bob Lewis: Debbie, this is Bob. I think – we have at least endeavored to articulate this when we announced the new plant construction, but that we’ve viewed this largely as being able to get out the cost relative to customers that we’re moving till locations, which are creating significant efficiencies. And then we did see that as a recurring event and there is nothing about our footprint in our food can business that that is uncompetitive to the broader market. So, we do view this as kind of well done as we get through.
Debbie Jones: Okay. And if I could just ask a question, I think [indiscernible] Silgan looking at plastic can as well. I’m just wondering if you could – or I think you have in development if you could comment on that and if that’s kind of a customer approach and where you see that products moving?
Bob Lewis: Sure Debbie, it’s Adam. We actually had a – a plastic food container business for many, many years that supplied billions of microwaveable plastic products to the market. And it has one of their product line extensions is a clear can what we call a clearly elevated can because the product attributes are that – it provides some clarity for the package itself. So it kind of necessarily a new technology for us. It’s not necessary a new product. It’s one that’s been in our portfolio for sometime. I just think others have has entered into that space and are trying to land with a bit of splash. So, I said, we have a product that is sitting right in the middle of the space that we are targeting.
Adam Greenlee: That’s challenge for us and anybody else for that market is that the lion’s share of the food can market is a continuous resort that is very, very rough on these kind of packages. And so while our can go through retort system even then it’s got to be very specific retort systems and you’ve got positive [indiscernible]. Well, I think, if anybody moves the opportunity of a plastic package in the food can world, it’s – for us it’s been a great market opportunities for us but it always sort of a differentiator around the end.
Debbie Jones: And what kind of products were dealing there for you?
Tony Allott: Today, its again my [indiscernible] variable suites et cetera anything that customers are – food chain customers would want to see product displayed on the shelf to differentiate shelf presence so things like fruit, it’s probably the most common that it’s being targeted right now.
Debbie Jones: Okay, thanks. I turn it over.
Operator: Now we’ll go to Scott Gaffner with Barclays.
Scott Gaffner: Thanks, good morning. 
Tony Allott: Good morning, Scott.
Scott Gaffner: Just in response to one of the questions earlier, you - question is on leverage and with packet your historical leverage ratios back to 2000 looks like you’ve never gone up about 4.1, 4.2 times I think grand might take that little bit outside of that range but what's your comfort range, you said little above I think before on a question a little above this 2.5, and to 3.5 times top of [indiscernible] if you get above that range is there any point where you start thinking about issuing equity for larger deals or have you ever raised your equity in the past for any of the acquisitions you’ve done.
Tony Allott: I guess there’s lot in that question, right. yes, I think you’re right on where our historic leverage has been as we've probable been at least the last 10 years where we’ve kind of an insight in 2.5 and 3.5, at early days obviously we were more elaborate coming up, I think you’re right with when we looked at the grand transaction I think by the time that was all said and done when we walked with a permit it would have been – call it mid-force kind of leverage maybe a tick underneath of that. And that is one transaction that we were contemplating issuing some equity, we've never done it although that is closest we've come for an acquisition. I wouldn’t necessarily rule it out. It’s obviously a currency that we have to consider, it is our most expensive currency. So we take in that stride. I think where we would go largely depends upon the outlook of the credit market, the strength of the credit markets cash flow generative power of the business or businesses that we’ll be acquiring and that will take us to that level are all going to lead us to what the appropriate leverage level is. There is nothing about a particular metric that’s scares us as long as the dynamics of the business. We will support that and allow us to delever in a reasonable period of time. So I'm able to know that I can give you a better answer than that we take into account all factors and we’ll draw a conclusion based on what those factors are telling us overtime.
Scott Gaffner: And then just the second question the metal containers business, in your prepared comments on the 2016 guidance, you talked about plastic containers operating profit being down, metal containers didn’t give much commentary that’s specifically but it sounds like there is a possibility you could get back to flat year-over-year is that – given over puts and takes is that a possibility?
Tony Allott: Yes, I think you actually read that right. It’s somewhere around there, could even get a little bit better than that depending on time and environment better. So, it’s somewhere in that range.
Scott Gaffner: Okay.
Tony Allott: Hence the range and the numbers we put out.
Scott Gaffner: All right. Great, thanks.
Operator: And our next question, we’ll hear from Adam Josephson with KeyBanc.
Adam Josephson: Thanks. Good morning, Tony, Bob, hope you are well. One more on acquisitions. Bob, what are your features about making an acquisition in which there are few of any synergies?
Bob Lewis: Well, look, I don’t think we’ve ever said that we’ll only do an acquisition that come with synergies. In many ways the [indiscernible] new acquisition very much that way, it was the complementary acquisition. At end of the day the acquisition happens to stand on its own from a return basis and we look at that from a cash on cash basis. So I think goes right to the discipline that we bring to the M&A market is making sure that we’re buying business where we think we can earn through return, whether that comes from synergy or that just comes from a discipline purchase price.
Tony Allott: The original closers acquisition we did as well and I think it was probably one of our best acquisitions in history of the company, we had no synergy on.
Adam Josephson: Thanks, Tony. And just one on the inventory build in the metal container business in the fourth quarter, forgive me if I had necessarily read, how much of an earnings benefit was that in the quarter? And how much do you expect did it track from your earnings in the first quarter of 2016?
Tony Allott: Yes, it was about $4 million or $5 million in the quarter and it ought to come back in the current plan, it does come back against us in 2016. But, later part of the year, so not right away, because right now we are getting ready for this transition of the plan.
Adam Josephson: Thanks, Tony.
Tony Allott: Thank you.
Operator: [Operator Instructions] Next, we’ll hear from Chip Dillon with Vertical Research Partners.
Chip Dillon: Hi, good morning guys. First question is on the – balance sheet, again, you mentioned the branch transaction, if you remember over five year ago, and when you said it you were contemplating maybe a mid-force leverage was that net of the equity that you are going to issue or is that why you issued the equity?
Bob Lewis: That would have factored in the equity and I think that deal had something like a 50% equity piece going into the deal. So that was leverage after using the equity from purchase price.
Chip Dillon: I know the markets little crazy lately. Is there any reason that you wouldn’t go back to that level in the future deal or do higher and we afford to have sort of what we would see is your upward range still?
Tony Allott: So I think Bob answered this well before. I think the, first of all understand that the history of our company was basically a highly levered business and trying to get return on equity through leverage. And the model that we build, that’s why we do pass through of our raw materials, is why we do long-term contract and we stuck with that model all the way through. So there is really nothing about our business model, that can’t carry more leverage. What we’ve done thus far is made a decision about the equity markets desire for leverage and trying to model ourselves to that. So I think there’s no question been [indiscernible] more leverage, what Bob said is exactly right, which is if you think an M&A and right now we don’t know what we would be thinking, but we can assume. But if you think M&A, we are – we clearly have to look at the – what the credit market at that time, how certain fixed our rate, again that’s the more leverage, you have the more of your [indiscernible]variable rate. But very importantly what is the cash characteristic of the business, post deal and that’s an important aptitude as well. And does the new business included, have the same kind of characteristics, a stable cash flow that our base business have.
Chip Dillon: Got you.
Tony Allott: All of those – to answer your question.
Chip Dillon: Okay. And then, I guess the second one is on the footprint realignment program as we go back to, last couple of years and when we think about, maybe the next five, 10, 15 years. You might, on yourself, in a position where you would do something similar again. And I think it’s fair to say that there were some surprises along the way and would you agree that there are things you learn through this process that might make the next [indiscernible] less costly overtime?
Tony Allott: Well, I think I can honestly say, not in my life, have I not learned something from my hope or ever you’re not learning [indiscernible] you have a problem. So there is no question that we’ve learned and then we would do things differently. I think, when we talk a lot about the characteristics of a custom business is always a challenging thing to the footprint rationalization. So we talk about plastics obviously and so that, it’s never going to be easy to do it. But would you do anything different, sure. I mean I think, one of the things, I think it happens, seriously consider is, should you have bet more on capital a lot to do duplicate capacity rather than trying to build that inventory move. I think that’s clearly at some of the case that example hold, not every case. So I think that’s a concrete example that we will certainly look at it as we go forward. But I don’t want to make this too easily, this is – it will never be easy to do this kind of massive rationalization of custom business like we are doing in [indiscernible].
Chip Dillon: Okay, hate to put you on this, but that’s very good answer. Thank you.
Tony Allott: It’s a good question obviously, is the one that we ask ourselves all the time.
Operator: And next move onto Mark Wilde, BMO Capital Markets.
Mark Wilde: Yes, just kind of follow-on here, Tony. I wondered if you could just update us on the performance of global [indiscernible] and particularly wondering whether that Russian business that you have is doing better as the Russians seem to focus more on sort of domestic food production.
Bob Lewis: Yes, Mark. This is Bob. The European business in general, European food can business in general have had a pretty good year, volumes in the quarter were up in the fourth quarter and volumes for this year were up a bit. The fourth quarter a little bit of a – I’ll call it a pleasant surprise, as we had some customers continue to run through the holidays, that were a little bit outside of our expectations, but [indiscernible] that was pretty good volumes, their operating performance for the year was pretty good. So overall, we’re happy with performance of that business. Overall, I think obviously it’s in some geographies that are more challenged than others. Like Jordan and the Ukraine and Russia. I think the Russian market is doing fairly well, there’s a fair bit of volume there, is probably a little bit insulated inside the country because of the sanctions against imports, exports. But that’s doing pretty well. The Ukraine on the other hand was one that had been struggling and we’ve actually made the decision that we’re going to go ahead and at least [indiscernible] that plan for the time being, because of the just called – these are being able to export into the Russian market. So, we’ve beneficially furlough the employees there. And we’ll make some decisions as we go forward as to what to ultimately do with the equipment, but again it’s very good equipment that can be moved elsewhere in the system. So I would say in general pretty happy with how things are going in the volume business right now.
Mark Wilde: Okay. That’s helpful. Thanks Bob.
Operator: And we’ll move onto George Staphos with Bank of America Merrill Lynch.
George Staphos: Yes. Hi, guys two questions on the solution [ph] M&A. And whether synergies are needed or not, I remember White Cap being great acquisition, I was going through my files, I couldn’t find the multiple, because in part evaluation also that you paid was very attractive. When you look at that versus a world, when it truly come down, I would imagine why it can’t be one of being more successful acquisition, was that a function of multiple timing because obviously we view volatile [indiscernible] just before Europe slowed down and obviously have the Russian issue or just not really comparable because we become much more franchise White Cap was and then I got a follow-on that is not related?
Tony Allott: One the White Cap I would just say that first of all the multiple timing meaningful it was actually losing money at the time in the on top of the U.S. which is the one that was a great acquisition for us. So multiple is actually quite high and was it – unique about it, the answer is, yes, we were a joint venture partner on it. We know a lot about what we thought it was capable of but that was I mean beyond that it was our lead to execute a turnaround for that business, which worked very well for us. So it has some similarities and we bid on the trailing numbers we bid a healthy price we got the turnaround done quickly and also look back the multiples quite well.
George Staphos: Okay 
Tony Allott:
…:
George Staphos: Appreciate that, and then one other question the outstanding checks announced year-on-year swung quite a bit I think it is roughly around $23 million can you just remind us why that was swinging to that degree 2014 versus 2015 thanks.
Tony Allott: Yes, I think that’s largely just timing of payments between the years kind of what hangover at year end. So that’s actually just take about that outstanding check has really just payable. It’s just presentation on the cash flow that is a little bit different than maybe some of our other competitors today.
George Staphos: Okay thanks a lot and I will turn it over.
Operator: And there are no further questions. At this time I’d like to turn the call back over to Tony Allott for any additional or closing remarks.
Tony Allott: All right, thanks everyone for your time and we look forward to talking to about the first quarter. Have a good day.